Operator: Good day, everyone. My name is Christina, and I will be your conference operator on today's call. At this time, I'd like to welcome everyone to the Live Nation Entertainment's First Quarter 2020 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions].Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ including statements related to the company's anticipated financial performance, business prospects, new developments and similar matters. Please refer to Live Nation's SEC filings, including the risk factors and cautionary statements included in the company's most recent filings on Forms 10-K 10-Q and 8-K for a description of risks and uncertainties that could impact the actual results. Live Nation will also refer to some non-GAAP measures on this call. In accordance with the SEC Regulation G, Live Nation has provided a full reconciliation of the most comparable GAAP measures in their earnings release. The release, reconciliation and other financial statistical information to be discussed on this call can be found under the Financial Information section on Live Nation's website at investors.livenationentertainment.com.It is now my pleasure to turn the conference over to Michael Rapino, President and Chief Executive Officer of Live Nation Entertainment. Please go ahead, sir.
Michael Rapino: Good afternoon. Thank you for joining us. I hope that everyone out there is healthy and safe. On our last call, we were on track for tremendous growth across all our businesses, with both fan demand and artists touring increasing on a global basis. Then in mid-March, we came to a halt. We have held no concerts in almost 2 months. Despite these challenging times, we continue to have full confidence in the long-term supply and demand of the live concert industry, Live Nation's leadership position and our business model's ability to successfully deliver AOI growth and shareholder value. With that context, let me update you on our top priorities at this point.Our top priority is to ensure the health and safety of our employees, fans and artists. Like most of the world, we have been working remotely since mid-March, and we will return to work only after there is clear consensus that it is safe to do so, and then in appropriate numbers with expanding cleaning and social distancing protocols. Similarly, we recognize the experience that our venues will change when concerts start back up. And we're working with medical experts and public health officials on procedures to keep people safe while enjoying our shows.When we asked over 8,000 fans across North America about the requirements for returning to shows, they had 2 clear priorities, with 85% of fans stating they want increased cleaning and sanitizing of the venues and ready access to hand sanitizing stations, while no other action received more than 40%. In addition, we expect to have additional safety protocols in place, potentially including reduced capacity, touchless concessions and creative ways to apply our digital ticketing technology.Our next priority is planning for the reopening of concerts when the time is right. First and foremost, we will let the facts and science tell us when we should start putting on concerts again. We are working with government at federal and state levels in the U.S. and across all markets in building plans that fit with their reopening phases. In the meantime, we have fortified our balance sheet to have the resources to ramp up quickly when the time is right.We know from fans that demand will be there when the shows return. Globally, over 90% of fans are holding on to their tickets for rescheduled shows when refunds are available. That's the clearest demonstration of pent-up demand that will enable us to quickly start concerts back up.Looking a bit farther out, given that 80% of shows are rescheduled rather than canceled, and as noted, almost all fans are holding on to their tickets, we believe 2021 can return to show volume and fan attendance at levels consistent with what we've seen in recent years.As we plan the resumption of concerts, we're also seeing a number of innovations within our company as artists look to stay connected to fans. Almost 1 million fans have come to our Live at Home site to find virtual tours and acoustic performances from their home. And millions of fans in over 100 different countries have joined Insomniac's Virtual Rave-a-Thons, while drive-in concerts are finding a new purpose to socially-distant concert halls. Throughout all this, we are still motivated by the long-term potential of global live events. It's in the DNA of us to want to gather, socialize and celebrate. And as we provide assurances on health and safety at the venue, we expect our business to build back.Live Nation is in the best position in the live ecosystem to play long and to capture new opportunities, continue leading the industry into the future. I'll now hand the call over to Kathy and Joe, who will provide additional full details on our balance sheet.
Joe Berchtold: Thanks, Michael, and good afternoon, everyone. Before getting into the quarter, I want to give a quick update on our cost and cash management programs, which we launched in March. We previously announced initiatives to cut costs by $500 million this year. And we've surpassed that goal and are now targeting $600 million in cost reductions. We've also expanded our cash management program, which including our cost initiatives, now eliminates or defers $1 billion in cash requirements this year. As a result, we project our monthly operational cost burn rate to be approximately $150 million per month for the second quarter and through the remainder of the year.Now I will walk through the impact of the COVID shutdown on each of our businesses during the first quarter. As we previously indicated, at the end of February, we were headed toward delivering Q1 AOI, in line with last year, approximately $115 million. Instead, with the shutdown, we had 100 -- sorry, instead, with the shutdown, we had a $21 million AOI loss for the quarter. The direct COVID impact in the quarter was approximately $165 million, which was partially offset by approximately $30 million in cost savings during the quarter.Starting with concerts. Our concerts division went from $5 million of AOI in the first quarter of last year to a loss of $88 million this year. Through February, we had promoted 5,500 shows for nearly 8 million fans, up year-on-year by 17% and 2%, respectively. We then ended the quarter with 7,100 shows for 10.4 million fans, down 14% and 30%, respectively, from last year. With 2,100 March shows canceled or rescheduled to a future date, we've lost approximately $40 million of anticipated contribution margin on those shows. Additionally, we had a onetime expense of approximately $25 million for sunk cost for canceled shows, which included the cost of paying show employees for those shows that didn't happen during the second half of March. We had always expected our concerts AOI to be down in Q1 given the show activity level and increased fixed costs of approximately $40 million largely associated with acquisitions made over the last year. But unfortunately, the March shutdown led to a substantially lower AOI.On a separate matter, our OCESA acquisition was approved by Mexico's regulators in April. We've now entered into discussions with CIE and Televisa regarding the timing and terms of the previously announced OCESA transaction. And do not expect to close the transaction until we have greater clarity on the duration of the shutdown in Mexico and its impact on OCESA's business.Next, Ticketmaster. Our ticketing division AOI fell from $100 million in the first quarter last year to $45 million this year. Similar to our concerts division, through February, we were on track for a strong Q1 with fee-bearing GTV up 31% to $3.2 billion. Net of refunds, we then ended the quarter with $3.0 billion in fee-bearing GTV, down 22% from Q1 last year. This drastic reduction in fee-bearing GTV led to an approximately $65 million reduction in contribution margin relative to our February forecast for the business. In addition, we refunded 5.2 million tickets for $432 million of GTV during March. And along with an accrual for future refunds of shows canceled in April, this resulted in a $35 million reduction in contribution margin.To give you a little more color on our refunds through this past weekend, Ticketmaster has had 65,000 shows impacted by the virus. Virtually all canceled shows are currently refunding, and about 80% of rescheduled shows or postponed shows are currently offering refunds. For Live Nation concerts, about 9,000 shows have been impacted. Of those shows, about 20% have canceled and 80% are rescheduling. Again, almost all canceled shows are currently refunding. And over 90% of rescheduled shows are offering refunds with the remaining shows scheduled to be refunding in the near future. And as Michael said, less than 10% of fans are taking the refund for the rescheduled or postponed shows when given the choice with over 90% of them holding on to their tickets for a future date.Finally, sponsorship. Our sponsorship business was the least impacted by the March shutdown, losing less than $5 million in contribution margin as a result, and this quarter delivered $47 million in AOI, up from $40 million in the first quarter last year.Overall, we recognize the next few quarters will not be business as usual, so we won't be giving any direction on key operating metrics until we start selling tickets and promoting concerts again. Our focus is on managing our cost structure and cash burn, ensuring a strong balance sheet as we come out of the shutdown. And with that, I will turn the call over to Kathy.
Elizabeth Willard: Thanks, Joe, and good afternoon to everyone joining us. I will briefly recap our first quarter results and provide an update on our liquidity position. For the quarter, we generated $1.4 billion in revenue, down 21% compared to last year as the shutdown shows due to COVID-19 reduced our revenue by approximately $435 million, primarily in concerts and also ticketing. Our AOI was a loss of $21 million for the quarter, down $136 million compared to last year driven by approximately $165 million in COVID-related impacts.Our operating loss was $173 million, driven by an estimated $175 million COVID-19 impacts, including $10 million in intangible impairments in the quarter. Net loss for the quarter was $185 million, and net loss per share was $0.94.Now on to our balance sheet and liquidity position. We are actively managing our cash to preserve our strong liquidity position during the stoppage in shows. We have taken quick and aggressive actions to conserve cash, including our cost savings initiatives and cash management program, which eliminates or defers $1 billion in cash outflows for 2020 relative to our budget as Joe outlined. In addition to the $600 million in cost savings, these cash impacts include a reduction in capital expenditures, lower acquisition activity and deferrals of concert and ticketing advances. We now estimate an operational cash burn rate of approximately $150 million per month for the rest of the year, prior to interest expense, debt payments, capital expenditures and other nonoperational items.As of March 31, we had total cash of $3.3 billion, which includes a free cash balance of $817 million. In April, we completed an amendment to our credit agreement, which suspends our net leverage covenant for the second and third quarters of 2020, replaced with a minimum liquidity test for those quarters. Beginning in Q4 of this year, the net leverage covenant will use the bank-defined EBITDA from Q2 and Q3 of 2019 instead of the Q2 and Q3 2020 results. We continue to have a 20% add-back in that EBITDA calculation, which gives us added protection from our COVID-19 impacts during the period. We also added an incremental revolver of $130 million in April, providing us with additional financial and operational flexibility. That now gives us $963 million of available debt capacity between our revolvers and undrawn term loan A. And we will continue to monitor the capital markets for opportunities to expand liquidity at appropriate pricing.Our total cash includes $2 billion of event-related deferred revenue as of March 31. This is part of our operating cash and therefore, provides us additional liquidity. We believe that our free cash balance of $817 million, together with our $963 million of undrawn debt capacity, gives us sufficient liquidity to maintain critical operations for the remainder of the year, even in the extreme scenario that no major shows play off this year.As of the end of the quarter, our total net debt position was $3.7 billion, with a weighted average cost of 3.9%. We expect to be in compliance with our debt covenants around our corporate debt structure for all of 2020. Total capital expenditures for the quarter were $74 million. We are now estimating our full year CapEx to be approximately $200 million, down from our initial estimate at the beginning of the year of $375 million as part of our overall cash flow improvement process. Of the remaining $126 million in CapEx for the year, approximately $50 million is for capitalized labor in our ticketing segment, which we continue to rely on for our ticketing operations, with the remainder largely venue-related long-term projects. We will continue to evaluate all projects as the year progresses, particularly as we gain more insight into opening time lines by region.With that, we'll open it up to questions. Operator?
Operator: [Operator Instructions]. And your first question comes from the line of David Karnovsky with JPMorgan.
David Karnovsky: First, Michael, I'd be interested to get your view on the long-term impact of COVID-19. Across a lot of industries right now, there's talk of huge acceleration in consumer trends. So I'm wondering what you think this potentially means for the concerts and ticketing industry.
Michael Rapino: Thanks, David. We're looking at all this data ongoing as we're trying to understand and make sure we're looking at a global basis of our consumers and any long-term effects. It was important, we want to make sure we got one of our surveys online today because I think the general surveys aren't always useful, but we went and talk to 10,000 of casual and ongoing ticket buyers around the world. And the data's pretty compelling. I mean 90% of fans are saying, "I can't wait to get back to the show." I think our refund rate says everything. Anyone that has any view that says, will they come back? Will the consumer change behavior? We're running somewhere between a 5% and 10% refund rate right now on a global basis, much lower in Europe.Those aren't out of line with when we reschedule just a traditional tour for different reasons. So 90% of fans in today's environment saying, "I'm going to hold on to those tickets because I can't wait to see the show," I think it's probably the most compelling data one could look at that says the consumer is going to come back strong. It's a big part of their old social DNA to get out and gather and communal experiences with their friends and family.So we don't debate that consumers nor artists will be back on the road from a supply/demand -- I mean, since the early days, people have been gathering around artists. And we think long after we're dead, people will gather around artists. It's a communal primal need. We're just not debating on what month we start that back. So we don't think we have any consumer trends that worry us. This -- there was no acceleration in our industry of a decline. If anything, we were having a global acceleration as emerging markets were becoming more sophisticated and opening up to the traditional concert. So we see that on a global basis that the show will be back. It'll be back as big as ever from a consumer demand.And the second part of our equation that is really unique is the supply. We have all these artists who really look to go on the road for financial and to bond with their fans and build long-term franchises. And talking to those artists on a daily basis, they are waiting to get back on the road when it's safe for them and their fans. So supply/demand dynamics, I think we have a unique situation in the sense of fans are -- cherish those 2 hours when they get on the road and see their favorite performers. The artists want to get back out. Now we're just going to make sure we play the science, and when can we get out there on a safe manner on a scale basis. But we think demand in '21 and onward will be as big as it was in '20 -- or in '19.
David Karnovsky: Okay. And I was hoping you could expand a bit on your liquidity position. In a scenario of extended shutdowns, how long can you continue to operate? And what options do you see in terms of additional financing? And maybe as a follow-on to that, what is the right way for investors to view your available cash position, including the deferred revenue portion?
Michael Rapino: Joe?
Joe Berchtold: Yes. Sure. David, let's start with where we're at, which is $800-and-something million in available cash, $900-and-something million in untapped debt. So $1.7 billion of available untapped liquidity to start with, and then to the point I made of about $150 million a month of operational cash burn. So that says you can go through this year without doing shows at any scale without any concern. I think it's our expectation that even though likely to not have a huge volume of shows this year, as we get into Q4, you start having the ticket sales in some large scale for shows next year.I think we're already seeing -- obviously, the NFL has their schedule announced today or schedule release today. Most of the teams are going on sale with their tickets over the next day or so. So you're already seeing people going on sale even if the shows aren't happening, and that will drive some of our ticketing and sponsorship businesses. But just as the base case, certainly, getting through this year without any additional liquidity isn't a concern. More broadly, when we look at the markets, I think spreads have come back to more normal levels. The capital markets are absolutely open. Open to us, open to a wide range of folks that are looking for any increased liquidity. We'll watch that opportunistically and see what makes sense to do.And then in terms of your question on deferred revenue, I think that, to us, has never historically been part of how we think about our ongoing operational liquidity. I think in this instance, particularly given the very low level of refunds, as Michael went into, it's just some float that in effect we could tap into if, for short- to medium-term purposes, we had a need for that additional liquidity float. It's not part of our base case scenarios in any means.
Operator: Your next question comes from the line of Ben Swinburne with Morgan Stanley.
Benjamin Swinburne: Thanks for all the color on the cash front. Two questions. Michael, could you talk about the sort of operational approach and process of sort of rescheduling all of these events around the world? I mean the complexity, I think, you've talked about in the press is significant. But I'm wondering as you start to go down that path, if you could just spend a few minutes on sort of how you go about doing that and what your opportunities and options are, and how you may or may not be working with other promoters and artists and things along those lines.And then just another cash question on the liability side. You guys have some accrued expenses and accounts payable at the end of the quarter. And I didn't know what we should be thinking about those liabilities, whether or not you need to pay those down over the next couple of quarters. Is there any color you can give us on the accrued expense account payable front? I don't think that's captured in your cash burn number, but I could have that wrong.
Michael Rapino: Thank you. Yes, you're right. We have a lot of shows. I mean again, the glass half full here. Thankfully, our show is not time-dependent. So you feel for any other event companies where if you missed the final 4, you can't replay that. So the great advantage we have is it's just now timing. The fan wants to see Billie Eilish. They would have liked to see them in March, but they'll wait until October or they'll wait until February. The average customer goes to 2.5 shows a year. So these are the Kodak moments, and they'll wait for them.So you're right. We're going to -- we're dealing right now as an industry, as a whole, I'd say, like most probably industries. The industry has never come together this well from the agents, the artists, the buildings, the managers, the promoters, we're all in the same boat. So we're all looking to say, how do we move availabilities. Really, the only challenge we've had with availabilities in terms of a little bit of the -- why we had to hang on to the refund strategy is the sports lakes. They're kind of the ones -- we need to understand what's going to happen in the fall time in their arenas, and what availability is and when is the season going to start. Traditionally, the NFL, and the NBA, NHL announce their season, and then we kind of know the next Q4, Q1, Q2 availabilities. That would really be our only gating issue. As soon as they get their exact schedules up, then we'll be able to slot all the dates in.As an industry, we have a great model right now that if you have a current date that was planned, you will get first holds to get that back on the road. And if you're a new tour that was going to tour in '21, you're probably moving that to later in '21 or into '22. So we've talked about it. We think we'll have a very robust '21 backend and really, really robust backend '21, '22. But working together with the industry, we see no issues in moving all of these dates into '21, just waiting on some scheduling conflicts.
Elizabeth Willard: And on the accrued liability AP part of that question, I mean, think about, yes, it's obviously built into cash burn. It's also part of when you think about what we're deferring, when we talk about deferring part of our cash, the $1 billion. There will be liabilities that will be sitting there that are accrued that just won't be paid for a while.
Operator: And your next question comes from the line of Brandon Ross with LightShed Partners.
Brandon Ross: First, curious how COVID's impacting your commercial agreements with the artists and venues. In the process of rescheduling all these shows, have you been able to renegotiate the contract terms with the artists on guarantees? And as you look to incremental 2021 tours, do the terms of the artist deals look different because of COVID? Are there less guarantees? And then also, what about third-party venues? And then I have a follow-up.
Michael Rapino: Thanks, Brandon. As I referred to, as an industry, it's been a unique time where we are all in this together. And I would say that the artists, the agents, the managers have been incredibly supportive. The reality that in '20 and '21, the promoter can't take all the risk on the business as we historically have. We need to share some of that, especially refunds on the guarantees. So I would say to you that we don't want to out loud get into how and what the deals are. I would say to you though that we absolutely are getting great latitude from the artists and agents to look at a traditional business of high guarantees and all of our risk, to help share that risk into '20 and 21, to get the shows back on the road and help us absorb the show, but not take all of the refund sales, sponsorship, food and beverage unknowns for the next 6 to 12 months. They're helping sharing some of that risk which will provide us great opportunity to get back, scale fast, but not have to worry about losing money on the show.
Brandon Ross: Great. And you've obviously spent a lot of time looking at your costs searching for near-term savings, but is there an opportunity to reassess your overall cost structure as we come out of the pandemic.
Michael Rapino: Yes, I think any CEO, any business operator, it's the great gift of this reality we're in. We're all looking at our business and wondering, now that we have been able to stop, catch our breath and look at our business, are we running the most efficient way we can? How do we restructure our business, our cost basis on a global basis to be more efficient? We have gone into furloughs and cost reductions, as you know. We absolutely plan on coming out of this a leaner machine, much more efficient on how we go to market.And then probably as other companies have learned, there are some areas we're going to have to spend and acquire a better skill set at, to help us diversify our core business in terms of virtual concerts and other things that we've dabbled in, but maybe we got to spend a bit more time in that area. So bottom line is we look at this as a great opportunity on a global basis for us to restructure our cost basis, come out a leaner organization while still as aggressive as ever in terms of our global growth strategy.
Brandon Ross: Great. And then maybe one just more technical one for Kathy. You said you expect your debt covenants to be fine all year. If I sit back here and I do the math with limited or no revenue in Q4, it looks to me like -- if we used AOI as a proxy for bank EBITDA, you would still bust the covenant in Q4. Can you just explain what we're missing, maybe it's the 20% add-back that you mentioned earlier?
Elizabeth Willard: Yes. I think the two main things, Brandon, would be, yes, you're assuming no material concert activity. But as Joe said, still expecting some ticket sale activity this year and related sponsorship for that. So based on those things, we obviously will not break our covenants based on projections. But I think the other big thing is that 20% because you can take 20% of that bank EBITDA as an add-back for the COVID impacts. And so you can do that for your AOI in the same way and get pretty close.
Operator: And your next question comes from the line of Drew Borst with Goldman Sachs.
Andrew Borst: A couple of questions. I want to ask firstly about OCESA. I heard the comments about it but I was wondering if you could elaborate a little bit on what's going on there in terms of -- are you still interested in the asset? Or is this about figuring out a new purchase price, maybe because the performance says they've underperformed in this environment? But maybe you could just add some color on that, please.
Michael Rapino: Yes. We're going to -- we've had a long relationship with OCESA and a great relationship helping them on the tour business as they build their business. And we have talked to them about it in the last couple of weeks. It's taken a while to get the government approvals. It happens -- and now in Mexico. But we were -- as you would expect, my line to them has been, we are, long term, still bullish on their business and ours. We want to be in business with OCESA and get the deal done.But we're not sure where Mexico stands. And I'm not looking to take on any losses from Mexico while they're going through their 6 or 8 months of business downturn, will they come up the other side. So ideally, we want to get the deal done. We want to delay the cash payment of the deal until we both know how and when we're on the other side of this crisis. So that's the intent.
Andrew Borst: Makes sense. If I could, a couple more. I go through the 10-K, there is a liability that gets mentioned, this redeemable noncontrolling interest puts. In the K, you guys flagged it, at least at the time you expected it might be $238 million sort of obligation. I was wondering if you could just comment on whether that's still a good estimate or are there ways to maybe defer those payments in this environment.
Michael Rapino: Yes. Joe, you've been working on that.
Joe Berchtold: Yes. Sure. So Drew, some of that we paid in Q1 for some of those puts. And the majority of anything that's still out there that hasn't been paid, we're working to defer out of the year, and that's part of the $1 billion deferral program. So I think you can kind of take all of that together.
Andrew Borst: Okay. And then just sorry, one last one...
Michael Rapino: But I would add to it. The spirit of it, it's been great. As you can imagine, if you're a partner in a festival, and the festival got canceled, and you happen to have a put up in your deal, we're talking to them about let's delay the put for the year because the event didn't happen and we didn't retain the cash. So we've been very cooperative with our partners. And some of them may need the cash for other reasons, but generally, the partnerships have been very accommodating if their event got moved.
Andrew Borst: Okay. And sorry, one last one on -- when I look at your free cash reconciliation, right, from GAAP cash down to free cash, one of the big add-backs is this prepaid expenses, which I think about $450 million at the end of the quarter. I just want to understand what that is because I guess I'm a little bit concerned that, I guess, these are expenses you already paid for events. I don't know what a counterparty is on those and I guess I'm wondering, would it be -- is it feasible to really collect that cash if you need to get it in sort of short order? Or I don't know, can you help me understand what that number is and that risk of collecting?
Elizabeth Willard: Yes. So mainly, that's going to be artist advances. And so the best way to think about that is it's an offset to the deferred revenue. So we -- on that free cash, we're deducting off our event-related deferred revenue. And the add-back basically says we're not going to have to pay the artist part of that money because we've already advanced it to them. So it's a good way to net out what really is deferred revenue that might be going out other than our profit.
Andrew Borst: I see. So you actually have the cash on. I got you. So it's netted against the deferred, you have the cash in your bank account.
Elizabeth Willard: Right.
Operator: And your last question comes from the line of Khoa Ngo from Jefferies.
Khoa Ngo: It's clear that your data suggests there's a lot of pent-up demand to return to concerts. I'm just wondering if you can provide granular detail as to your reopening strategies, particularly spend engagement, artist engagement, and how you can feasibly control capacity in the social business as well.
Michael Rapino: Thank you. Yes. Well, one of the things I always remind people on 2 fronts is our global diversity is our greatest strength. It always has been. Wherever there's been challenges, there's been markets of opportunity. So the 2 things to remember about our business, unlike sports or NFL where it's stadiums or nothing, is we have a very diverse size of shows. We did 15,000 club and theater shows last year, and we did them in 40 countries. So we'll look in the next 6 months, but we'll be kind of starting slow and small, focusing on the basics, kind of testing regionally. But it will be about whether it's in Arkansas or a state that is safe, secure and politically is fine to proceed in, we're going to dabble in fan-less concerts with broadcast. We're going to go and reduce capacity shows because we can make the math work.There are a lot of great artists that maybe they can sell an arena out, but they'll do 10 higher-end smaller theaters or clubs. We're seeing lots of artists jumping to get back out when it's safe. So you're going to see us in different countries, whether it's Finland, whether it's Asia, Hong Kong, certain markets are farther ahead. And we kind of look at it as over the next -- over the summer period, there'll be testing happening, whether it's some fan-less concerts, which are really important for our sponsorship business, all the ways we can create great properties to keep all of our sponsors who have been amazing and sticking with us this year. So it's important for us to keep doing drive-in concerts. We're going to test and roll out, which we're having some success with, fan-less concerts, which have great broadcast opportunities; reduce capacity of festival concerts where it could be outdoors, could be in a theater, it could be in a large stadium floor, where there's enough room to be safe.So we have all of these plans in place depending on the market and where the -- that local city may sit in their reopening phases. So we want to be smart. We don't want to rush. We're playing long ball. One of the realities is we and AEG are the 2 companies that can withstand this storm as long as it plays. And we're going to play for the long safety of business. So we're not looking to rush and provoke any new spread of the virus. We want to do it smart with local participation. But there's lots of great opportunities that are arising now where we will get to test over the summer period.And again, I remind you, those are important for my sponsorship business as well as testing the feel on some new ideas we have. We think the fall time, if a lot of those things happen and don't cause any second hot spots, that you'll see markets around the world. Europe specifically has talked about September opening up 5,000-plus. So I think you'll see the fall time more experimental and more shows happening in more of a theater setting and into some arenas. And then our goal is really to be on sale in Q3 and 4 for '21 at full scale, and testing all through the summer.I would say on the venue part that's really interesting, and we're dealing with Federal, White House to every government body, you can imagine. We're jumping on all of the best practices with all the sports leagues, the commissioners, the teams. So we've got a great task force around what have we got to do with the venue to make you safe. And I just think it's very interesting from our data, the fan's not looking for instant testing or thermometers, although those would be fabulous, and we hope those come fast in terms of 5-minute testing. 85% of fans want to make sure our venues are sanitized, enhanced sanitizers available. That's the bar they need to say it's safe to show up. It's the most important factors. So that's also important. We're working with the local governments on what is our venue prep plan, what's the protocol to make the fans feel safe, well for testing. So making sure we have proper sanitization, hand sanitizers, masks, physical distance, cashless concessions. So we've got a full plan in place. We think those are smart things for the future.Digital ticketing is something we've always been driving for a bunch of reasons, but no better time than ever to have digital ticketing and cashless concessions, part of our access program, we're going to continue to excel. I think that will be one of the real advantages of this crisis.So we think we're well on plan on a global basis to have our venues ready. Now we're just going to go market-by-market with one of these or multiple ideas as the market's ready to test these. And that's our plan for the summer, to keep the business moving.
Khoa Ngo: Understood. And if I can follow up on that on the pricing side. It does seem like we are moving into a contact-less world going forward. So I'm just wondering, in your latest presentation, you outlined $100 million AOI opportunity. Do you think the current environment allows you to pull that forward in some sort of capacity?
Joe Berchtold: This is Joe. Yes, we absolutely think the presence only becomes more important. I think that the magnitude of the opportunity holistically becomes even larger because I think our leadership in technology and the breadth at which we can apply it, as Michael said, it's not just contact-less entry, but cashless payments and other forms have great potential. I think the exact timing of it is still TBD with just a pause that we have going on right now, and we can get it -- when we can get it deployed. But no question, the opportunity is larger than ever.
Operator: There are no further questions at this time. And I will now turn the call back over to Michael for any closing remarks.
Michael Rapino: No. Be safe, and we'll talk to you soon. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating, and you may now disconnect.